Operator: Thank you for joining us today. On the call are Mike Burkland, Chairman and CEO; Dan Burkland, President; and Barry Zwarenstein, CFO. Certain statements made during the course of this conference call that are not historical facts, including those regarding the future financial performance of the company, customer growth, anticipated customer benefits, company growth, growth in our portfolio of products and features, industry size, our expectations regarding macroeconomic conditions, company market position, initiatives and expectations, technology and product initiatives and other future events are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are simply predictions, should not be unduly relied upon by investors, actual events or results may differ materially and the company undertakes no obligation to update the information in such statements. These statements are subject to substantial risks and uncertainties that can adversely affect Five9’s future results and cause these forward-looking statements to be inaccurate, including the impact of adverse economic conditions, including macroeconomic deterioration, including increased inflation, increased interest rates, supply chain disruptions, decreased economic output and fluctuations in currency exchange rates, lower growth rates within our installed base of customers, the impact of the Russian-Ukraine conflict, the impact of the COVID-19 pandemic and the other risks discussed under the caption Risk Factors and elsewhere in Five9’s annual and quarterly reports filed with the Securities and Exchange Commission. In addition, management will make reference to non-GAAP financial measures during this call. A discussion of why we use non-GAAP financial measures and information regarding reconciliation of our GAAP versus non-GAAP results and guidance is currently available in our press release issued earlier this afternoon as well as in the appendix of our investor deck and in the Investor Relations section on Five9’s website at investors.five9.com. Lastly, a reminder that unless otherwise indicated, financial figures discussed are non-GAAP. And now, I’d like to turn the call over to Five9’s Chairman and CEO, Mike Burkland.
Mike Burkland: Thanks, Emily and thanks everyone for joining our call this afternoon. I’m pleased to report strong first quarter results with revenue growth of 20% year-over-year, exceeding our expectations. Our enterprise business, which accounts for 86% of the total revenue, continues to drive this increase with LTM enterprise subscription revenue growing 31% year-over-year. Adjusted EBITDA margin for the first quarter was 16% of revenue, helping drive a record quarter for operating cash flow of $33.4 million or 15% of revenue. In spite of the current macro backdrop, we remain very optimistic about our long-term opportunity in this market, especially at the upper end, which is the largest and least penetrated part of the market and the fastest growing category of our business. Before we dive into our business, I’d like to spend a few moments to debunk two myths that are emerging around our industry. The first myth is that CCaaS will be disrupted by AI and automation. The reality is that AI and automation represents significant TAM expansion for us and other CCaaS providers. Let me be clear, the automation from a virtual agent replacing live agent is a labor arbitrage opportunity for our customers and also a major TAM expansion for us. More specifically, if our customer replaces a live agent with a virtual agent, our revenue doubles from approximately $200 per live agent seat to $400 per virtual agent seat. And this is a one-for-one substitution. Therefore, we believe the total count of human and virtual agents combined will remain largely unchanged, thus resulting in a meaningful TAM expansion for us and other CCaaS providers. The second myth is that LLMs like ChatGPT will potentially commoditized contact center solutions. Let me use an analogy to explain why this is not the case. LLMs are the jet engine, while CCaaS solutions are the airplane. You can’t just strap yourself to a jet engine and fly across the country. We are providing the entire airplane. And it’s important to understand that we are leveraging LLMs as the jet engine. These better engines allow us to build a better airplane. But also keep in mind, there is a lot more to building an airplane than just the engine. Think about all the systems necessary to build an entire aircraft and provide a smooth flight across the country. Now, let’s get into what’s really happening in this market and our business. Our confidence in the market opportunity is stronger than ever based on three key trends. First, legacy vendors are retrenching, forcing enterprises to develop concrete plans with an even greater sense of urgency to replace their on-premise contact center solutions. Second, companies are enthusiastically pursuing digital transformation initiatives to enhance customer experience, cut costs and increase revenue. And third, AI and automation have become front and center in the CX market, providing an attractive intangible ROI, thus becoming a significant catalyst for enterprises to shift to the cloud. Now, I’d like to discuss what we view as the three main growth drivers for our business, namely our platform, our march up market, and our continuing international expansion. Let’s begin with our platform. We continue to make investments to enhance our cloud-native platform to deliver ongoing reliability, deployment at scale and continuous innovation across all of the core features of the contact center as well as some of the new and up and coming innovations. Speaking of innovation, given the importance of AI and automation to both enhance customer experience and drive tangible business value to our customers, I am going to focus most of my comments on this aspect of our platform and strategy. Our goal is to help businesses efficiently deliver a world class customer experience that removes friction and frustration helps reduce costs and increase revenue growth. We believe that AI and automation are fundamental to this goal and to the modern contact center. Through the Five9 Intelligent CX platform, we enable our customers to turn this goal into a reality and deliver what we call fluid experiences, where consumers can interact with a brand, however they wish, across any or all channels from digital first, to self-service, to a live call and everything in between. This journey is a seamless experience in which their interaction history and customer data is persistent and travels with them, where agents, whether human or virtual are empowered with all of the knowledge, information and intelligence they need to delight their customers every time. We are focused on leveraging our unique position as one of the leading CCaaS providers to harness the power of AI in a way that will deliver the most value to our customers. Our AI strategy can be summarized in three key components. First, while we have been delivering our AI and automation solutions, we remain agnostic about which foundational engines such as LLMs we leverage. This allows us to rapidly innovate and consistently be at the forefront of delivering meaningful solutions to our customers that are leveraging the most innovative technology available. This has been our consistent strategy and has proven to be a more sustainable model than what some others have been doing. Second, we are continuing on our commitment to deliver practical AI solutions that deliver tangible business value. An example of a practical AI solution is our AI summaries offering, which uses Open AI’s GPT models to summarize agent conversations and publish them to the CRM in real time. I am pleased to share that this product has now moved into general availability and we are enthusiastic about its potential. Third, we are embedding AI and automation into the fabric of our Intelligent CX platform, allowing our customers to get immediate out-of-the-box value. For example, our workflow automation solution is now fully enabled for all new and existing customers. Workflow automation enables customers to easily automate back-office tasks, seamlessly connect to spirit systems, aggregate information and trigger cross-platform workflows such as launching surveys or sending reminders as part of proactive customer communications. Similarly, our AI insight solution gathers and aggregates valuable data from customer interactions, identifying repetitive requests and that acts as a prescriptive tool to identify use case candidates for self-service automation. In summary, we now have a comprehensive suite of eight different AI and automation solutions in market that enhance customer engagement and contact center efficiency whether that’s before, during or after the customer interaction. Our goal is to continue to build out our portfolio and bring to market products that will help our customers reduce cost, increase revenue, improve service quality and deliver fluid experiences. And now, I’d like to focus on our March-up market. Let me remind you that our one million plus ARR customers now make up over 50% of our recurring revenue. Our partner community is now influencing over 70% of our bookings and we continue to certify an increasing number of partners, not only for sales, but also implementation services. Over the years, our PS teams have set a very high benchmark for quality of implementation services as measured by our NPS scores in the ‘80s and ‘90s. We are enabling a select group of partners who are committed to investing and maintaining this high standard for successful implementations. We call this important 2023 initiative, project pull-through, which we believe will not only give us services leverage leading to improved margins but also provide more top of file opportunities, which will come from these partners. We just completed meetings a couple of weeks ago with our Partner Advisory Board, where we collaborated on how to best drive collective success. Lastly, I’d like to touch on our international expansion. I am pleased to report that our international revenue in Q1 grew 48% year-over-year on an LTM basis and has now grown more than 40% year-over-year in 9 of the last 11 quarters. As we’ve discussed previously, partners play a significant role in our international expansion, and I’m excited to report that Five9 has entered into a strategic partnership with BT, formerly known as British Telecom. They have a large sales force throughout Europe and the rest of the world with a specialized contact center practice focused on customer experience transformation. After an extensive multiyear evaluation process, BT has chosen Five9 as its primary CCaaS solution to enable the migration of their thousands of legacy installed base customers to the cloud with the Five9 Intelligent CX platform. In closing, I’d like to express how proud I am of this entire Five9 team. Even with this challenging macro backdrop, the team is executing with an increased level of passion and purpose that I’d just love to see. The energy and excitement surrounding our opportunity has never been better. This speaks directly to the 59 team-oriented culture which I’ve always believed is one of our most significant competitive advantages. With that, I will turn it over to our President and CRO, Dan Burkland. Dan, go ahead.
Dan Burkland: Thank you, Mike, and good afternoon, everyone. I want to start by focusing on our move up market and our momentum with strategic accounts. As we anticipated, our successful execution in delivering the parcel delivery service and the healthcare conglomerate has others taking notice. As a result, our pipeline for strategic accounts is roughly double what it was a year ago and we continue to see an increase in RFPs. As we’ve stated previously, you should not expect mega deals every quarter. However, I do want to share some exciting news. We very recently booked another mega deal, a large regional bank where we anticipate this initial order to result in over $8 million in annual recurring revenue to Five9 once it’s fully ramped, which we expect to take up to 2 years. Given that this booking took place in early Q2 and has high visibility, I wanted to discuss this directly with you now rather than have you hear about it through the grapevine. Additionally, I’m pleased to report that we had our strongest bookings quarter for any Q1 from our mid-market, international and commercial teams, and our overall pipeline reached another all-time high. All that said, there is a macro backdrop that, in some cases, is a long gaining sales cycles, for our new logo bookings as well as slowing seat adds for our installed base, as Barry will elaborate on in a few minutes. And now as I normally do, I’d like to share some key wins for Q1. The first is a healthcare technology and services provider of financial management and patient experience management. They had been using an on-premises Cisco solution, which did not support omnichannel, IVA, WFA, WEM and several important integrations to deliver valuable data to their agents. We competed with the leading CCaaS providers and Five9 was chosen for our Intelligent CX platform, which delivers all of these applications and integrations. In addition, they will be leveraging our AI and automation portfolio to perform authentication with voice biometrics, natural language recognition for call routing and IVA self-service for checking account balances, payment status and appointment reminders. We anticipate this initial order to result in approximately $4.7 million in ARR to Five9. The second example is a full-service regional bank operating in several states in the southern U.S. They have been using an outdated aspect on prep system and evaluated the leading CCaaS providers. They were not only looking for a comprehensive CX platform with the full suite of applications such as omnichannel, WEM Speech Analytics, Performance Management, several AI and automation solutions and a truly blended inbound and outbound capabilities, but also they were looking for a partner with the professional services expertise who could best deliver and tailor all of these applications to enhance the customer experience improve their efficiency, cut costs and increase revenue. We anticipate this initial order to result in approximately $2.3 million in ARR at Five9. The third example I’d like to share is a rather unique sale that highlights the true value of Movie contact centers to the cloud. One of our premier partners in Europe who has extensive expertise in selling and implementing Five9, acquired a company, which has several dozen customers with legacy on-prem contact center solutions, which are being end of life. I placed an order with us to migrate the first phase of these customers over to Five9 throughout 2023, with more to follow in 2024. This initial order for Phase 1 is anticipated to result in approximately $1.8 million in ARR to Five9. And we expect more to fall as their installed base gets fully turned over to Five9. And now I’d like to share an example of an existing customer who has expanded their use of Five9. The company has been with us since 2017, handling smartphone repairs, trade-ins, insurance, warranty, and recycling as well as providing premium support with operations in over 30 countries. They had adopted the use of Five9’s IVA in 2022 to measure the impact of providing self-service options for several use cases. The ROI and customer experience feedback both exceeded expectations. So in Q1, they ordered additional voice IVAs, digital IVAs as well as our native SMS solutions to further provide automation, which are enriching the customer experience while dramatically reducing labor expense. They were a $1.9 million ARR customer before this Q1 order which will now increase their spend to approximately $3.4 million in 2023. And now, I will hand it over to Barry to cover the financials. Barry?
Barry Zwarenstein: Thank you, Dan. As Mike mentioned, first quarter revenue was strong and grew at 20% year-over-year, above our expectations despite the macro weakness. Enterprise made up 86% of LTM revenue with subscription revenue growing 31% year-over-year on an LTM basis. Our commercial business represented the remaining 14% of LTM revenue and grew in the low teens on an LTM basis. Recurring revenue made up 92% of total revenue in Q1. The other 8% of total revenue is comprised of professional services. I will now give more color around revenue. Please though, bear in mind that we did not intend to routinely continue making these more detailed disclosures. Let’s start with new logos, which typically make up approximately half of our year-on-year ago revenue growth. New logo seat turn-ups and the first quarter continued to be strong setting a new Q1 record and helping our revenue and outperformance. With respect to the deployment profile of the 2 new logo mega deals, both are on track as we continue to expect the international operations of the parcel delivery company to be substantially deployed by the end of 2023 and the healthcare conglomerate to continue ramping throughout 2023, with full deployment in early 2024. Between these mega yields and, of course, the regular flow of enterprise deals, we have a substantial backlog of book seats that are not yet generating revenue, giving us good visibility into 2023 new logo seat turn-ups. Now I’d like to turn to our installed base, which typically makes up the other half of our year-over-year annual revenue growth and with changes in demand short promptly in revenue. Last quarter, we discussed the macro headwinds, primarily impacting our customers in the healthcare and consumer verticals which are, respectively, our biggest and third biggest verticals. As a reminder, we mentioned at the time that the lower-than-normal seasonal uptick in Q4 2022 would likely result in a smaller seasonal downtick in the Q1 ‘23 for these 2 industries, which is precisely what happened. For instance, in Q1 of last year, healthcare and consumer verticals in aggregate experienced negative sequential growth, which is typical given their seasonal pattern. In contrast, in the first quarter of 2023, the steel industries in aggregate grew quarter-over-quarter in mid-single digit – in mid-single digits. However, Financial Services, which is our second biggest vertical experienced meaningful macro headwinds and remaining flat sequentially versus high single-digit quarter-over-quarter growth in Q1 of last year. The remaining 14 verticals in our store base grew sequentially at a solar rate in aggregate as the first quarter of 2022. Our LTL die-based retention rate was 114%, a decline of 1 percentage point sequentially, mainly due to the ongoing macro headwinds in causing our installed base customers to add fewer seats than normal. Longer term, we continue to expect our retention rate to trend towards the high 120s by 2027, due to a higher mix of enterprise customers, especially larger ones, which have demonstratedly higher retention rates and higher ARPU from our automation and other offerings. First quarter adjusted gross margins were 16.4%, a decrease of approximately 10 basis points year-over-year. First quarter adjusted EBITDA was $35.1 million representing a 16.1% margin, an increase of approximately 270 basis points year-over-year. First quarter non-GAAP EPS was $0.41 per diluted share a year-over-year increase of $0.19 per diluted share. Before turning to guidance, some balance sheet and cash flow highlights. In the first quarter, we generated operating cash flow of $33.4 million an all-time record, driven implied by continued strength in DSO performance, which came in at 34 days. We have now delivered 27 consecutive quarters of positive LTM operating cash flow. First quarter free cash flow was also strong, coming in at $21.7 million, our second best showing ever and we expect to resume reporting consistent positive LTM free cash flow now that our capital spending program has moderated. Finally, while still on the subject of cash, please note that on May 1, we received $74.5 million in cash from the unwinding of our capital relating to the maturity of our 2023 convert. And now, I’d like to finish today’s prepared remarks with a discussion of our guidance for the second quarter and the full year 2023. In terms of top line, we have guided Q2 revenue to a midpoint of $214 million, which represents a 2% sequential decline, in line with the typical guidance pattern heading into Q2. For the full year, we are increasing the midpoint of our revenue guidance from $901.5 million to $907.5 million which represents the year-over-year growth in our guidance from 16% to 17%. This revenue guidance reflects the continued uncertainty of the macro backdrop, which as Dan mentioned, is, in some cases, elongating sales cycles for our new logo bookings as well as logo seat that in our store base. As always, we have been prudent with our annual guidance. Also, a reminder that as we stated last quarter, we may see a drop in the LTM Enterprise subscription revenue growth rate into the high 20s due to the macroeconomic challenges. We believe this will be temporary and will improve as macroeconomic conditions improve. Note that enterprise subscription revenue continues to make up over 60% of our total revenue. As for the bottom line, we are guiding to non-GAAP EPS to come in at a midpoint of $0.39 per share, a decline of $0.02 per diluted share sequentially. This quarter-over-quarter decrease is within the range of the typical guidance spend for Q2 guidance. For the full year, we are increasing the midpoint of our non-GAAP EPS guidance from $1.69 to $1.75 per diluted share, which mirrors the prudence in the increase of our revenue guidance, implying 17% year-over-year growth for both the top and the bottom line. Additionally, I would like to provide more color on the quarterly profile of both the top and the bottom line for the second half of 2023. For revenue, we expect it to increase sequentially in the third quarter and more in the fourth quarter. Given the shape of this revenue curve, we expect non-GAAP EPS improved slightly in the third quarter and more in the fourth quarter. Please refer to the presentation posted on our Investor Relations website for additional estimates including share count, taxes and capital expenditures. In summary, we are very pleased with our first quarter performance with the ramp of our new logo business continuing its strong momentum helping to offset the ongoing macro headwind on our installed base. We continue to execute well against this massive opportunity and are investing strategically to deliver on our commitment of achieving $2.4 billion in revenue and 23% adjusted EBITDA margin by 2027. Operator, please go ahead.
Operator: Thank you so much. [Operator Instructions] And we will hear first from Ryan MacWilliams with Barclays. Ryan, please go ahead with your question.
Ryan MacWilliams: Yes. Thanks for taking the question. Great to hear about the mega deal already signed in the second quarter, also great to see RPO growing up 52% year-over-year. Two questions here, one for Mike, one for Barry. Mike, why are enterprise buyers prioritizing these large multiyear contact center deals at this point despite a tough macro? And then for Barry, kind of given your visibility here, how should we think about what’s baked into the guidance for the beat in the first quarter? Does this imply that the headwinds for the agents and your installed base for those impacted industries continue? Thanks, guys.
Mike Burkland: Yes. Great questions, Ryan. I’ll just say this. At a high level, AI is that catalyst that this industry has been waiting for, for a long time. You look at the large enterprise part of this market, it’s very low penetration. As you’ve heard many times over the last several quarters, including just a few minutes ago, we continue to penetrate the mega strategic opportunities in this market. A big catalyst is that AI an example of the most tangible ROI. And again, there are many of them, but one of the most tangible and easy to understand is this labor arbitrage opportunity at 10 to 1 savings, if you will, that our enterprise customers can be the beneficiaries up by replacing a live agent with a virtual agent. Now as we said in my remarks upfront, this is a good thing for us, either way no matter how much of that replacement happens. We do view it as a virtually a one-to-one substitution. And we’re getting $400 per seat per month for a virtual agent and $200 per seat for live human agents. So either way, we’re the beneficiaries of this as well, but our customers is really – they’re the real beneficiaries of this because, again, they are replacing a very expensive like human agent with a less expensive virtual agent but either way, we win.
Barry Zwarenstein: And then, Ryan, with respect to the guidance for the rest of the year, think of it in two buckets, Q2 and H2. Q2 we have relatively good visibility. Obviously, on the installed base side, there is some uncertainties. But we have also there a good handle given how close account management team are to our bigger customers. And of course, on the backlog of season to be turned up, it’s very solid on the net new side. With respect to the second half, we’re taking a more prudent approach. We think the macro will be somewhat similar, but there’s a lot of uncertainties out there. uncertainties in terms of the inflation in terms of the lot rising interest rates, in terms of the instability in the financial services sector. And given those uncertainties, we want to hedge against any further possible downturn. And so we’ve just been a little bit more prudent than in the second half.
Ryan MacWilliams: Thanks, guys. Congrats again.
Mike Burkland: Thanks, Ryan.
Operator: And moving on to DJ Hynes with Canaccord.
DJ Hynes: Hey, guys. Good to see everyone. Mike, I really appreciate your leading comments on AI, obviously, topical and super helpful. One part I want to dig in on there, and I don’t know if this is better for you, Dan or Mike, but I was surprised to hear you say that as AI takes a larger share that the aggregate count of the live in virtual likely remains unchanged, right? I think there may be the impression out there that the efficiency gains that come with AI would be deflationary to total seat count. So can you just double-click on why you don’t think that’s the case?
Mike Burkland: Yes. Sure, DJ. There are many factors that go into this. Yes, there is likely to be some marginal efficiency gain by using a virtual agent as opposed to a human agent in terms of talk time, but it’s not going to be significant. And remember also that our enterprise customers are balancing they’re always balancing and the most important thing for our enterprise customers, yes, they care about cost reduction and efficiency in that ROI that I talked about, the labor arbitrage, but they’re always balancing that cost savings against customer experience. We all remember the hellish days of IVR and the fact that you get stuck in the IVR, that was a result of over automation. Now again, the artificial intelligence underneath this with some of the technologies like GPT are obviously much better than the old technologies. But that doesn’t mean that customers – our enterprise customers are going to over automate and push their customers to force their customers to automate through self-service. So they’re always striking that balance. And we do, again, in our customer base, we see kind of 5% to 10% of interactions that are candidates for automation and self-service. So yes, that could increase over time. But again, you’re still going to have a lot of virtual agents that have to process those conversations, whether they’re digital conversations or live voice conversations with a virtual agent you’re still going to have a lot of traffic into contact centers, and we don’t see that traffic going down. So that’s why we think it’s going to remain relatively steady.
DJ Hynes: Great. Thank you.
Operator: Thank you so much. And now we will hear from Taylor McGinnis with UBS.
Unidentified Analyst: Great. Thanks. Hey, it’s Seth on for Taylor. Maybe just one for me, last quarter, you had guided 1Q down sequentially. So I’m just wondering if that was typical 1Q conservatism or is there anything we should keep in mind in terms of large deals that might have helped to boost 1Q beyond what you thought? Thank you.
Barry Zwarenstein: No. It’s more being consistent, classically prudent. There wasn’t any mega boost. We did outperform on the [indiscernible] record. That helped. That wasn’t fully anticipated. Frankly, also the downtick that we anticipated in terms of healthcare and consumer was there, but it was less than we thought it would be. And part of that in turn is due to the fact that in those two verticals, we have two groups of customers, the seasonal – highly seasonal ones and the less seasonal ones. And in this case of the year, the more seasonal ones were – did not decline as much. And the non-seasonal ones like, for example, grocery stores and auto parts and personal side did pretty well.
Operator: Moving on to Meta Marshall with Morgan Stanley.
Meta Marshall: Great. Thanks. Maybe a question for me just on – I understand what you’re saying about, and I think it’s a helpful analogy about kind of the jet engine versus the airplane. But just where do you think customers are on kind of understanding that? And kind of what are you doing to get in front of customers just to make sure they realize that you have those solutions already and that you can be kind of addressing their concerns before they turn to any alternatives that they might be hearing about?
Mike Burkland: Yes, Meta, I’ll start, and Dan, you can please chime in here. But I think it’s pretty clear to most of our enterprise customers that what they’re really looking for are practical solutions to problems, right? And in the end of the day, that’s really what drives their behavior. And we’re providing those practical solutions in AI and automation. I don’t think that there’s a lot of confusion, quite frankly, amongst our potential customers and our existing customers around LLM and what they bring and what our applications bring on top. And again, we’re – the analogy goes beyond just the aircraft itself. It’s the people, right? You think about One of the things that differentiates us, excuse me, in the market is our technology, but also a big part of that is our people, our professional services, our expertise – and think about that as kind of the pilot the crude, the maintenance crude, the whole experience of a first-class flight, if you will. That’s part of what we’re delivering for our customers. But Dan, I’ll let you chime in on.
Dan Burkland: Yes. I think if you look at the criteria, they are looking for the AI and automation. So we are letting our customers and prospects now very front and center that this is – we’re leading the market and we’re delivering those solutions. I think if you look at the RFPs, that we’re getting, the primary reason we indicated last quarter, the primary reason in of those RFPs was the AI and automation. That percentage has gone up. It’s creeping up a little by little each quarter. This quarter, it was 42% of those. But we’re seeing these large enterprises recognize that they want to automate, they want to do so in a practical way, and they’re going to do it in small steps. To Mike’s point earlier about that balance of making sure you maintain a very positive customer experience, while automating. So it’s more about providing them a choice rather than driving or forcing them to self-service and giving them that alternative if they wanted. We also got to recognize that even today, with IVA, as strong as they’re becoming there’s still a completion rate across the industry of under 50%, well under 50%. So customers, I think to the earlier question that was asked about, well, isn’t the automation going to make it much more efficient and it’s not a one-for-one replacement. I would argue it is more of a one-for-one replacement because there’s still a majority of them that start and try to self-serve and then opt out and end up speaking to a live agent. That will continue as you start building more and more complex use cases in trying to offer that automation. So this is going to be a journey. I think it’s going to be a journey for a decade or more. And we’ve always looked at our industry over the past and said, where can we provide efficiency savers and automation solutions. And it was everything from, in the ‘90s, everyone is going to go to the website and self-serve there. And then it was, everybody’s going to use self-service IVR to self-serve there. And what you find is these technologies, while very helpful for certain things, it doesn’t really negate or take away from the need for customers to they’ll continue with the same level of interactions or inquiries to interact with the business. And the beauty here is we’re providing them alternatives for interacting with a human, and providing software to that human or interacting with a machine in the sense of AI for self-service and we will put software for that, which actually yields us more revenue as we said, the $400 versus $200. And there will be other technologies that come around too. we want to be the source of those as a CX technology provider. So as new technologies come, that just benefits us because we’re at the forefront of helping those customers deliver the best experience.
Meta Marshall: Great. Thanks.
Mike Burkland: Thanks, Meta.
Operator: William Blair’s Matt Stotler has the next question.
Matt Stotler: Hi, everybody. Thanks for taking the questions. Good to hear about the partnership with BT. And maybe we’d like to flush that out a little bit more, get some thoughts on the strategy for that installed base transition, what that might look like to others in the model? And then any other similar opportunities that you’re looking at in the pipeline for continued international expansion.
Dan Burkland: Yes. I’ll start with the BT piece. Very, very excited about this opportunity that lies ahead. This, as Mike mentioned in the prepared remarks, a multiyear process for them to really zero win and pick a flagship partner that they want to work with to take out 10 – many tens of thousands of legacy solutions that they have throughout the world, in particular, heavily weighted in EMEA. But when you look at that business, they really want to take that and help their customers migrate to the cloud because they’re getting pushed by their customer base to say, hey, what can we do and how can we automate and deliver the services that we just spoke of. So in fact, just this morning, we recorded a fireside dot with the Managing Director. He and I, so we’re going to be front and center at their sales came off meeting next week. And we’ve got a whole team of people engaged. They’ve already started training their technical groups, dozens of folks on the technical side, and we will be ramping up their sales capacity and their knowledge there to enable them to go out and really represent Five9 on a global basis. Now this may have sounded like a brand-new partnership, that part of it was their ability to go to market with reselling of Five9. But we’ve been partners, some of the largest mega deals that you’ve heard out already that we’ve implemented. We’re in partnership with BT behind the scenes being a service provider to us for the carrier services. So the global parcel delivery service company, as an example, they provide all the global telco and all that healthy dialing around the world, both hit about and outbound for us, large insurance company based in Europe. They’re front and center, delivering all those network services, if you will, for that too. So we have the partnership in place. This is just an expansion of it, and it’s great because it’s now bidirectional symbiotic relationship.
Matt Stotler: Great. Thank you very much.
Dan Burkland: Yes. 
Operator: So moving on to Scott Berg with Needham.
Scott Berg: Hi, everyone. Congrats on a really nice quarter. I guess I wanted to dig into the AI component a little bit more here. Mike, you talked about in your strategy around AI about how you’re embedding it into the platform for different areas. And the summary is obviously a good example of that. But I guess it’s a multipart question within that is, how should we think about pricing for that module relative to the other module and functionality within the platform because this is a little different. And then two, just as you think about functionality kind of going forward, what else in the content are put these technologies ultimately impact versus the what some may see as a pretty narrow product today, but long-term, what does that look like? Thanks. 
Mike Burkland: Yes. Scott, happy to spend a little time talking about that. So relative to summaries and pricing, this will be a per seat additional per seat price for that product, that SKU, if you will. And it’s early days, but we’re very, very encouraged by kind of the early signs and early data points in terms of how much revenue per seat we’re going to be able to generate from summaries, for example, right? It’s just a very tangible ROI. This gets back to kind of the practical AI solutions that we’re continuing to provide. There’s a road map that we have. We are developing new products in this AI portfolio. We’ve talked about the eight products that we’ve got today. Another one, you talked about embedding AI throughout our solution. We now have WFA that is embedded and available to all of our customers. It’s essentially turned on. It’s a massive opportunity for workflow automation, WFA, and it applies to so many use cases across the board, across our customers in terms of back office and front office integration and actions. So in other words, let’s say, if you want to do a follow-up SMS on an appointment, for example, that workflow can be automated based on certain triggers. And those are just – that’s just an example of that, but again, the WFA capability that we’ve now embedded across our entire platform. is a tremendous opportunity for our customers to take advantage of automation and AI for example.
Scott Berg: Thank you.
Mike Burkland: You got it, Scott.
Operator: And Sterling Auty with MoffettNathanson has the next question.
Sterling Auty: Yes. Thanks. Hi guys. Maybe just building on the answer you just gave to Scott, specifically around that $400 price point that you have. What’s your confidence in the durability in that price as you move forward? Because I could see kind of maybe a bullet a bear on the both these added features, maybe could drive that pricing even higher or I shouldn’t say pricing, but revenue opportunity, higher per seat. But on the flip side, the AI capabilities might make it easier for competitors to get into the market that weren’t there previously, maybe erode that pricing. So, maybe help us understand how you are thinking about the price direction within the AI and automation space as you look forward a couple of years?
Mike Burkland: Yes. Sterling, great question. And Dan, you should probably chime in on that to kind of the field perspective on this. But I will tell you, that $400 is specific to our IVA, right. So, that’s just the virtual agents seat. Some of these other products are applicable to a live agency. So, summaries for example, AI summaries, which takes – again, leverages LLM to summarize the transcripted call, which we are doing the transcript, we are using GPT to summarize that and put it into the CRM saving huge minutes on average handle time. I mean it’s a major ROI for our enterprise customers. That applies to not the $400 per seat in a virtual agent, right. That virtual agent is a subset of total agents, if you will. The majority of the agents that are live agents benefit from products like AI summaries and this is an up-charge. So, think of about as an up-charge above the $200 per seat that we are getting on average across our base today. And then, again, when it comes to the $400 and the potential upward pressure or downward pressure on that $400. This is a no-brainer. I expect that price to go up, if anything, because of the ROI. If you think about $4,000 savings per month, but for an agent versus the $400 cost for this virtual agent, one could argue that, that $400 should be $80. And so it’s all about ROI and value delivery to our customers. And it’s not as if a standalone virtual agent solutions ever going to permeate the large enterprise. You have to have the entire platform, which is what we provide, so I will leave it there.
Dan Burkland: And if you step back from the ROI on the summaries you may ask, well, how valuable is that think about it if you have a typical contact center that has an average handle time of six minutes. In many cases, two minutes of the six minutes are spent after the call with the agent in putting their notes and then putting that in the CRM for historical record. And that’s what we are saying, well, automate. So, you can go from a two-minute wrap-up period, that wrap up times, what they call it, to all the way down to seconds. And the agent can just look at the summary real quick, check the machine make sure you got it right, and then submit. And putting that into the CRM, you have just created a great savings on how many agents you will now need to take those same costs. However, I will also say that that same technology can be applied to the automated where I have – in fact, one could argue where I have an IVA having a conversation with a consumer I definitely want to summarize that call because nobody was observing it. They don’t have a witness to the call. So, I want to summarize that call and push that into the CRM so that, again I have a nice track record or a threat of all the interactions of that customer that I can refer to later, including the ones that were made with the virtual agent as well as the ones that were made with human agents. So, you can take the $400 virtual agent and start stacking on top of it more and more of these AI technologies to get more.
Sterling Auty: It makes sense. Thank you.
Mike Burkland: Thanks Sterling.
Operator: And our next question will come from Matt VanVliet with BTIG.
Matt VanVliet: Hey. Good afternoon. Thanks for taking the question. I guess probably more directed to Barry, but curious on sort of the overall outlook for headcount throughout the year. Obviously, being a little more prudent on the second half, given the macro, are you still adding to the go-to-market team? And then maybe a sub-question under there with such strong growth on the international front, especially in Europe, how much should we think about headcount sort of needing to go up there to continue to capture the opportunity specifically in that market as well?
Barry Zwarenstein: Yes. Matt, we are walking at time. We see this tremendous interest in the – especially in the mega deals and international, as you just referred to. And we are investing for the long-term is there are so many great opportunities. At the same time, as you alluded to in your question, there is these uncertainties, simply put for the second half. So, we are continuing to do what Five9 has always done, which is to be very prudent, looking at the pipeline, looking at the bookings, looking at our partners’ needs. And we are continuing to hire. I know that the Street has its way of tracking what the job openings are and what the hirings are, and you will see that. But it will be very moderate, and including across the board on go-to-market, R&D, etcetera.
Matt VanVliet: Great. Thank you.
Operator: Moving on to Michael Turrin with Wells Fargo.
Michael Turrin: Hey Great. Thanks. Appreciate you squeezing on and taking the question, like to see everyone. Some of the trailing 12 months metrics are still moving down a touch. I think that’s expected given some of the windows, but it does seem like some of the key indicators are picking up if we look at subscription revenue, particularly given the Q1, some of the metrics on the move-up market and international. So, any commentary on just helping us square those two things? Are we getting closer to a point where the 12-month windows are starting to stabilize at least for now, or is that too optimistic given the macro, any characterization is helpful because we are obviously just thinking through a lot of the good things that you are showing and I want to understand the conversion there? Thanks.
Mike Burkland: Barry, go ahead, you start and I will finish.
Barry Zwarenstein: Well, Michael, first of all, congratulations on picking up on that recurring point. It is too early to say that we have reached an inflection point, especially given this environment that we are in. We know when things are good. We know if things are bad, we know they are in between. Right now, they are in between. And for example, the LTM enterprise – excuse me, the dollar-based retention rate. We – as I think I said in the prepared remarks, it’s more likely to go down in the near-term than even despite it being an LTM calculation. Why, because of the macro. Please bear in mind when that particular statistic, the logo retention is extremely good. It’s just a thing expanding at a solo pace and when the macro comes back, they will come back very strongly. We have said on the LTM enterprise subscription that it will likely go down into the high-20s rather than staying with it. So, it’s too early to core it a new dawn. But there is a sort of light that’s there a little bit down the road.
Mike Burkland: And I will just add, Michael, that what I really look at are the leading indicators, our pipeline for strategic deals, as Dan mentioned, has doubled, 100% growth in the last year, on year-over-year. That is the metric I care most about. This is a long-term play in an underpenetrated massive market, the large enterprise market is opening up. The macro backdrop that we are in today creates some noise, if you will, in the equation, but I would encourage everybody not to get too caught up in that. These things pass. And boy, I just – I told you this before, I have never been more excited about this opportunity. I have never seen our team more excited about this opportunity across the board from sales to R&D to marketing, you name it. It is just an exciting time for our industry, and I am sure you will hear the same things from our peers, others in this space. This is a wonderful market opportunity that, again, we will get through this macro backdrop sooner or later and it’s off to the races.
Michael Turrin: It’s great. Thanks Barry. I think you are up with title growth. Appreciate that.
Operator: Great. And our next question will come from Baird’s, Will Power.
Will Power: Alright. Great. Thanks for taking the question. I want to come back to the AI theme of the day. So, I think one of the seeming advantages you all have and probably the CCaaS generally or sitting on a trove of customer data. Can you maybe talk about where we are in the evolution to be able to really use that data to help inform large language models down the road? What is the roadmap looked like for better incorporating that? What does the customer buy in kind of look like on that because the customers ultimately think still own that data. Kind of where are we in that roadmap? And what does that opportunity look like for you?
Dan Burkland: Yes. And Will, I will take that. This is Dan. When you look at large language models, they are actually occurring, there is two things. You can feed it data and feed it information and a lot of customer data in order to have it come back with more accurate summaries for specific industries, if you will, and specific companies that are within those industries, but you also now have the luxury of leveraging the large language models that have that knowledge and have an ability to extract data from anywhere on the Internet. So, it’s actually not quite as critically important that you have all of this data transcribed and that you build – use that data to train your models. You can now eliminate or vastly reduce the training time it takes for that machine learning to get more and more accurate. So, we are actually looking at this to seeing it as there is value in current customer data, but there is also value that can be extracted without having to interrogate that customer data. So, we are still in those periods of figuring out which are most applicable and most valuable for the particular applications. So, when you look at our eight different modules, some are still using that customer data. Some are using large language models and some are using a combination of the two. So, it’s early days for making that to work most effectively in each of the different categories. But always important, having the data and having the specific data for industries. We see the customer data actually being utilized and leveraged for a couple of other purposes that are very useful. Two examples, one is what we call the insights. So, we can take the existing customer interaction data for a particular customer or industry. Pull that data together and show those customers, this is what’s being said and most are asked for most in your conversations in the contact center. This may be a candidate for an automation choice and automation alternative for your customers. That’s one. We also may take aggregate data across an industry and be able to benchmark within an industry. This is what’s being done, and this is what’s being performed. That’s where you really got to be careful and get permission from customers to be able to use their data in an aggregate fashion because you are kind of just closing, hey, this is the typical industry average, here is where you are. This may be an area for improvement. So, we are working on ways to leverage that data and use it.
Will Power: Thank you.
Operator: And we will now hear from Samad Samana with Jefferies.
Samad Samana: Good evening. My question Barry is that, it’s not going to be on AI. I bet more on in your alley, which is really great expense discipline, great margin upside of the quarter. So, I am just curious how should we think about that in terms of the hiring that you saw hiring linearity, are you guys ahead of plan behind plan? Is this a good way to maybe think about the potential leverage we could see with the current kind of growth trajectory? Just trying to understand maybe both the upside and how we think about it in context of you are hiring?
Barry Zwarenstein: Yes. Samad, I am going to fairly brief on this. We are not going to give specific gross or EBITDA margin guidance we have given the net income, adjusted net income guidance of 13%, similar to we had almost identical to what we had last year. The reason for that is very simple. We – those margins are very, very dependent upon the revenue growth. And we don’t yet know what the revenue growth is going to be, for sure. We know the fall, but we don’t know what it’s going to be potentially beyond our guidance in the second half potentially. And we are not willing to give a number that we know we can’t make, so in terms of gross margin percentage. In terms of our hiring plan, we were a little bit behind in the first quarter. We largely caught up with that at the beginning of April.
Dan Burkland: However, and we will add to that on the go-to-market side. In the two areas we talked about because we have doubled our pipeline in strategic accounts. We continue to grow that team proportion to that demand as we are seeing it come at us at an accelerated rate up-market as well as in some international markets where we see that opportunity growing and that’s reflecting in both our bookings and revenue as well.
Samad Samana: Got it. Congrats on these strong comp results. Thank you.
Operator: And we will now hear from Matthew Niknam with Deutsche Bank.
Matthew Niknam: Hey guys. Thank you for taking the question. Just wondering if you can talk about linearity of activity and new deals in the quarter. Any deal slippage into the second quarter. And then also just in terms of the competitive landscape, any change in terms of where you are winning new logos from? Thanks.
Dan Burkland: Yes. Great question. Thanks. If you look at the pipeline, as we mentioned, up-market, clearly, international, clearly, and so if you look at the cycle, I mentioned that we still have some cases where sales cycles are elongating. And that’s natural, right. In this type of environment, you tend to get more scrutinizing of budgets. Things tend to have to get more approvals. They are making sure that ROI is a strong business case in a lot of situations. Q1 is particularly difficult every year. When I say that, we have 1 year where we had a mega deal that kind of overshadowed our masked typical Q1. But remember, in Q4 every year, we are always pulling deals forward and trying to end the year as strong as possible, qualify as many people for President’s com as we can. And that results in fewer Q1 mega deals or big deals. The regional bank that I mentioned that happened early Q2 was scheduled for Q1 and it was forecasted and we anticipated it to be Q1. So, if you look at my three mega deals or three large deals that I have highlighted in the prepared remarks, that one would have and should have been in Q1 with all the turmoil going on in the regional banks, that caused it to slip naturally. I mean as we got into the last couple of weeks of last quarter, we thought there was a chance that could happen because of what was going on in the regional banks. So, that’s where we stand. But as far as the linearity of day-to-day business, we are seeing very solid lead flow. We are seeing very solid projects. We do our diligence to make sure that they are real, and it’s not just folks kicking the tires, and we are continuing to see momentum, like I said, especially up-market, especially in the international markets, very consistent in our commercial and mid-market spaces.
Operator: And we will now hear from Jim Fish with Piper Sandler.
Unidentified Analyst: Hi guys. This is Quinton on for Jim Fish. Thanks for taking our question. So like everybody else, we have to ask about AI. How is the team thinking about its competitive moat versus the other cloud contact center vendors related specifically to AI because a few that some has the adoption of LLMs can kind of speed up some of the newer platforms ability to compete with players like Five9 that that have been in the space longer, have you seen any sort of material change in these new platforms kind of AI competitiveness? Thank you.
Mike Burkland: Yes. Quinton, a very appropriate question. And the bottom line is, look, we acquired Inference 2 years ago. That put us way ahead of our competitors in terms of AI and automation. We have developed several products since that acquisition. Again we are –remember, we are building these technologies and these products on top of these LLMs as engines. Yes, everybody has access to that engine, but it’s what you do on top of it. And it’s not that simple. You don’t just create a new product just because you have LLM technology, you still have to build great products that are practical. They have to be embedded and ingrained and part of the platform that we are providing. There is a wonderful example of this, which is it’s not just in those products that our customers are using that are helping them relative to automation. For example, the analytics, the ability to understand where those opportunities are in the contact center. For example, the analytics power within our products and our platform cannot be replicated easily. So, there is lots of barriers to entry, lots of competitive out there. So, it’s not just like a foot race without significant technology barriers, and I will kind of leave it at that.
Operator: And we have time for one additional question, which will come from Catharine Trebnick with Rosenblatt.
Catharine Trebnick: Hi. Thank you for taking my question. Could you put a finer point on the new strategy you have with the pull-through – is that just going to be targeted to your global system integrators, or will you be including any of the Telus’ or some of the telecom brokers here in the U.S.?
Mike Burkland: Yes. Catherine, thank you for asking that question. Project pull-through is a really exciting project that we kicked off a few months ago. It’s not as if partnerships are new to us, we have built out a huge ecosystem of multiple routes to market. What pull-through is about is enabling a subset of them to do the implementation services, if they are willing to invest significantly in keeping the NPS scores where our internal PS organization has set the bar in the 80s to 90s. So, it’s all about continuing to provide that great implementation experience, but we are going to do it with more than just systems integrators. So, the answer is, it is not just the SIs that will be involved in this. We have got an initial set of partners that are landed in really hard. We have been working with them over the last several weeks and months to enable them to not just sell but implement. For example, in the case of SIs, they may not sell but they will implement. So, it’s a mix across our multiple routes to the market.
Dan Burkland: And it’s not just for improved margins by giving the services to those organizations. The reason we call it project pull-through as we know when they get enabled and they are doing services on a regular and daily basis with our product, it’s going to put us in the pole position for when they want to bring their prospects and their opportunities to us. So, it’s a top of funnel, long-term play even though it’s enabling the services immediately.
Catharine Trebnick: Alright. Thank you very much.
Operator: And again, that does conclude our Q&A for today. I will turn it back to Mike for closing comments.
Mike Burkland: Yes. Thank you. In closing, I will just say, look, I am so pleased with the strong start to our year. We have made great progress on our strategic priorities. We are just excited to talk about these recent developments in AI. I know that’s counterintuitive to some of you, but I think you will understand in the long run. We at Five9 as well as the whole industry are going to benefit from this, it’s creating a TAM expansion, but it’s also that catalyst for large enterprises moving to the cloud. So, really excited about that as well as just the energy and the passion amongst our team. So, thank you for joining the call today everyone.